Operator: Welcome the second quarter Boston Beer Company earnings conference call. (Operator Instructions) I would now like to turn the presentation over to your host for today’s call, Jim Koch, Founder and Brewer.
C. James Koch: This is Jim Koch and I’m pleased to be here to kick off the 2008 second quarter earnings call for The Boston Beer Company. Joining the call from Boston Beer are Martin Roper, our CEO and Bill Urich, our CFO. I’ll begin my remarks this afternoon with a few comments on where we stand competitively and then pass the microphone on to Martin who will provide an overview of our business. Martin will then turn the call over to Bill who will provide financial details for the quarter and our 2008 outlook. Immediately following Bill’s comments we’ll open the line for questions. We achieved 8% depletions growth in the second quarter compared to 12% depletions in the first quarter. Our depletions growth slowed slightly in the second quarter but we still appear to be growing our share within the craft beer category. As others in the industry have noted some depletions associated with the 4th of July holiday appear to have occurred in July this year softening the quarter’s depletion trends somewhat. We’re encouraged by our position and remain positive about the future of craft beer even as the craft category has raised pricing in the face of significant cost pressures. I will now pass the call over to Martin for a more detailed overview of our results.
Martin F. Roper: We are happy with our depletions results that we feel has been driven by drinker interest in craft beers and our investment in brand support for Samuel Adams. On April 7 we announced a voluntary product recall of certain glass bottles of Samuel Adams products. We completed most of the recall activities during the second quarter with the help of our wholesalers, retailers and customers and appreciate the outstanding support they provided during this process. In our first quarter financial results we took various charges for this recall based on the best available information at that time. Our estimates are now higher than previously reported as more data has become available. The after-tax impact of these additional provisions in the second quarter was $2.8 million. We estimate that we have quarantined for destruction approximately 925,000 cases of product of which 200,000 or approximately 200,000 were held at our warehouses and identified prior to shipment to our wholesalers. The full costs of this effort include drinker rebates, product credits, fees and incentives to wholesalers and retailers for the recall, lost product, freight and destruction charges for returned product, warehouse and inspection fees, repackaging materials, point of sale materials and other costs. We also believe that we have experienced lost sales at retail which probably contributed somewhat to the slower growth rate in depletions for the second quarter. For the first six months of 2008 to reflect the current known estimated impact of this recall we reversed approximately 725,000 case equivalents of shipments which translates to approximately $12.3 million of sales credits and recorded approximately $8.3 million as recall costs. The after-tax impact of these provisions was $11.6 million. All of these amounts reflect estimates based on available information which could differ from the actual recall costs and do not reflect any potential recoverage from third parties. We also believe that we replenished some of the recalled shipments in the second quarter resulting in higher shipments and revenue than would have normally been anticipated, absent the recall for the quarter. However it is not possible to determine the actual extent of this replenishment and we have not included any potential replenishment benefit in our recall related provisions. We carry product liability insurance but do not carry product recall insurance. We closed on the purchase of the brewery in Lehigh Valley, Pennsylvania and paid the $45.0 million balance of the purchase price as scheduled in June 2008. We began brewing at the brewery prior to taking ownership and began kegging and bottling on schedule during the last six weeks. The actual production volumes for the second half of 2008 will be dependent on requirements for production under our packaging services agreement with Diageo North America, limitations on how fast we can ramp up our brewing and the timing of certain capital investments. Through the end of the second quarter of 2008 we had incurred $19 million at the Pennsylvania Brewery in capital improvements to upgrade portions of the facility and in startup costs necessary to restart the brew house. We currently anticipate that total capital spend this year on the Pennsylvania Brewery improvements and startup will be between $45.0 million and $55.0 million. Looking forward we have adjusted our four year volume targets down on account of the slower depletion trends seen in the second quarter and we are evaluating the causes and working to maintain the brand momentum we had prior to the recall. We continue to experience cost inflation and looking forward into 2009 we see further significant cost pressures in cost of goods sold and freight costs due to agricultural pricing pressures in new glass contract and rising energy costs we are already working to try to offset through efficiency gains. While our ability to achieve our financial goals for the year will be negatively impacted by the cost of the recall and lower than planned depletion volumes our outlook on full year earnings results has not changed with the exception of the impact of the recall costs. Now Bill will provide the financial details.
William F. Urich: We have achieved earnings for diluted share of $0.60 in the second quarter of 2008 an increase of $0.14 per diluted share over the second quarter of 2007. The second results include the after-tax impact of $2.8 million or $0.19 per diluted share of additional costs related to the voluntary product recall and reflects some benefit from increased shipped mix due to the replacement of recalled product. For the second quarter of 2008 net revenue increased $24.5 million or 26% as compared to the second quarter of 2007. This increase is primarily a result of the increase in shipment volume and increase in net revenue per barrel. The increase in net revenue per barrel of core products is due primarily to price increases. Our core shipment volume for the second quarter of 2008 was approximately 588,000 barrels a 19% increase over the same period in 2007. This increase includes the impact of replenishment shipments for recalled products. Depletions in the second quarter grew 8% driven by double digit growth in Samuel Adams seasonal and single digit growth in Twisted Tea and Samuel Adams Brewmaster’s Collection. We believe that wholesaler inventory levels at June 28, 2008 were slightly higher than last year’s levels as reflected in the shipments exceeding depletion and that such inventory would normally be expected to unwind during the course of the year. Our net income of $8.5 million or $0.60 per diluted share for the three months ended June 28th, 2008 represented an increase of $1.7 million or $0.14 per diluted share from the same period last year primarily as a result of an increase in net revenue and the write off in 2007 of $3.4 million of brewery project costs for the potential new brewery in Freetown, Massachusetts. This is partially offset by the product recall costs, increases in cost of goods sold, selling and advertising expenses and general and administrative expenses. Advertising, promotional and selling expenses increased by $3.1 million during the quarter as compared to the prior year primarily due to increase in freight expenses to wholesalers, salary and benefit costs and increased local promotions. General and administrative cost increased by $3 million during the quarter as compared to the prior year driven by addition of startup and reoccurring planned administrative costs related to the Pennsylvania brewery, salary and benefit costs and legal costs. The tax rate in the second quarter of 2008 increased to 44.8% from 42.4% as a result of lower than expected pre-tax income due to the recall but with no correspondent reduction in nondeductible expenses. Shipments and orders in hand suggest that gross core shipments through August of 2008 appear to be up approximately 12% as compared to the same period in 2007. Net of product return core shipments and orders in hand appear to be up approximately 8% through August of 2008. Actual shipments may differ however and no inferences should be drawn with respect to shipments in future periods. Year-to-date depletions reported to us through July 26, 2008 are estimated to be up approximately 10% over 2007 but this number may not be indicative of actual business trends due to some inconsistent reporting of the recall and the numbers that are available to us. Excluding the impact of the recall we still expect 2008 earnings per diluted share to be between $1.70 and $2.00 including the impact of the recall and related tax effect but without taking into account any potential recoveries. We expect 2008 earnings per diluted share to be between $0.85 and $1.15. The earnings per share range estimate does not include any significant change in the currently planned levels of brand support, any additional expenses above the current estimates for the startup and upgrade of the Pennsylvania Brewery, the product recall or the $3.9 million excise tax provision that we recorded in the third quarter of 2007. Our ability to achieve this level of earnings growth in 2008 is dependent on our ability to achieve challenging targets for volume, pricing and costs. As previously reported we currently estimate total capital expenditures in 2008 to be between $110 million and $125 million of which $45 million was the balance of the Pennsylvania Brewery purchase paid in June and $45 million to $55 million relates to capital expenditures necessary to restart and upgrade the Pennsylvania Brewery. We expect that our cash and investment balances as of June 28, 2008 of $19.4 million along with future operating cash flow and our unused line of credit of $50 million will be sufficient to fund future cash requirements. We will now open up the call for questions.
Operator: (Operator Instructions) We have a question from Andrew Kieley – Deutsche Bank.
Andrew Kieley – Deutsche Bank: I just wanted to ask first on the guidance, the EPS guidance, I think last quarter when you did the adjusted EPS of the $0.35 we were adding back some of the lost revenue and I guess it was sales credits, but I think for second quarter at least I was reversing some of that out in the second quarter and it doesn’t look like you did that in the $0.79 adjusted EPS that you’re using. So I was just wondering if you can square the adjustments from first quarter and second quarter on the EPS adjustments. Specifically I understand the cost adjustments that you’re making to the EPS in the first and second quarter, but I think in first quarter you added back some revenue, about $9 million of sales credits which I thought somehow would come out in the second quarter. I’m just wondering why there’s not an adjustment this quarter.
William F. Urich: I think that what we did in the firs quarter is we took a look at what we expected our return cost to be and added that back into based on the information that we had. If the recall had not happened here is what our top line of revenue growth would have been. And no we did not do that in this quarter it’s somewhat complicated by the fact that we have limited information of any of the volume that was replenished. We don’t have good enough information to provide any real accuracy around that.
Andrew Kieley – Deutsche Bank: So in the revenue line this quarter, was there any sales credit that detracted from that number because it looks like the volume on the reported barrels is up about 28%? Was there any credits that were in the revenue line?
William F. Urich: The answer is we shipped and reported what we shipped. We did have additional returns over and above what we originally forecasted in the first quarter earnings release.
Andrew Kieley – Deutsche Bank: Just looking beyond that I guess the volume update that you’re giving through August, there’s a couple different numbers and I was just wondering if you could go through what they are, the gross core shipments of 12%, then there was another number of 8% and another one up 10%. I’m a little confused on what those represent.
William F. Urich: In terms of the shipments number through August that being shipments and orders in hand, we have an 8% on a year-to-date basis. I’m not sure if that’s not clear.
Andrew Kieley – Deutsche Bank: What’s the difference between the gross core shipments of 12%?
William F. Urich: What’s the difference between the core? The shipments and orders in hand in terms of the gross core shipments are before backing out the 725,000 cases of what we are having as returns.
Andrew Kieley – Deutsche Bank: So what would be that number as of the end of the second quarter? Is it up?
William F. Urich: What would be which number at the end of the second quarter?
Andrew Kieley – Deutsche Bank: What were gross core shipments, growth as of the second quarter?
William F. Urich: I don’t have that number directly in front of me.
Martin F. Roper: Andrew, I think that number is probably available in the Q.
William F. Urich: Yes, it is available in the Q.
Martin F. Roper: We have a couple of complicating factors as it relates to our volume numbers and maybe I can top line them for you without actually getting into the numbers.
Andrew Kieley – Deutsche Bank: Yes, I’m just trying to back into what it implies for July and August.
Martin F. Roper: I understand. One of the things to bear in mind is looking at core and non-core. In the second quarter we had shipments under the Diageo packaging services agreement which would show up as non-core and our total shipment number is inflated by the packaging services agreement and that is broken out for you in the Q I believe. Then as it relates to core shipments which we would describe as being our own branded shipments we have a gross number which is pre the credit for the returns that we received of approximately 725,000 cases and then we have a net one which is net of the returns. So that’s the shipment numbers that we presented. We’ve also presented depletion numbers which is our sales to retails by our wholesaler network and there we reported the quarter number and the year-to-date number through the end of the second quarter and we’ve also reported an estimate through the 26th of July number as well.
Andrew Kieley – Deutsche Bank: So is it fair to say if you look at depletions were 12% of first quarter, 8% this quarter for July and August or is that running closer to the 8% number?
Martin F. Roper: The second quarter as I think Jim indicated in his comments and I did as well we think that we saw some negative effect due to the recall and we also believe that we saw some negative impact due to how July 4 landed. If you were to look at the public IRI numbers you’ll see that almost all growth but particularly ourselves enjoyed a very big July 4 holiday period which we believe some of those depletions fell in July.
Andrew Kieley – Deutsche Bank: Last question I had I was wondering if you could just update us on the input cost outlook? How has that changed since you originally gave guidance at the beginning of the year and any outlook for the rest of the year?
Martin F. Roper: We continue to see cost pressures and I think relative to the guidance we gave at the start of the year I think we would say we’ve experienced higher cost increases than we had planned but we’ve been able to offset some of those with efficiencies and savings through our recurring efficiency drives and resource improvements and as a result of that we were able to hold our guidance for the full year to where it was before obviously the impact of the recall.
Andrew Kieley – Deutsche Bank: Could you tell us any indication of how much volume is being brewed at the new plant as of this quarter or end of third quarter?
Martin F. Roper: That’s a number that we have disclosed. I think suffice it to say a couple of things. One is we only started packaging and racking beer in the last six weeks and that any volume that we do there has to take into account the fact that we are obligated to pack for Diageo under the packaging services agreement in preference to our own product. Also we are still investing in capital and capability on bottleneck and improve the capabilities of the brewery to support our own brewing of Samuel Adams. So while we have successfully kegged and bottled Samuel Adams beer there the exact volumes we expect to see in Q3 and Q4 is somewhat dependent on some things that we don’t have complete control over.
Andrew Kieley – Deutsche Bank: Should it ramp up through the end of the year from what it is in July?
Martin F. Roper: We’re certainly ramping up as fast as the spare capacity under the Diageo packaging services agreement allows and two as fast as we can bring the capital online bearing in mind that this is a very big project for us. We are ramping up. I think you can expect it to grow I think next year. The Diageo capacity commitment declines over time and that’s our commitment to Diageo and our plan is to fill the remaining piece of that capacity that’s ours to fill with our own production.
Operator: Your next question comes from Bryan Spillane – Bank of America.
Bryan Spillane – Bank of America: Couple of questions and first Martin and Bill I’m going to be a little dense on this recall volume math, I want to make sure I’m understanding it right. In the guidance that you’re giving for the year, the $1.70 to $2.00, I’m just talking about volume at this point, you’re excluding the credit, so you’re excluding the cases that were returned but you’re not excluding the replenishment of the inventory, is that right?
William F. Urich: In the $1.70 to $2.00 that’s saying that we believe that the recall didn’t happen. You can forget about both sides of that.
Bryan Spillane – Bank of America: So when we’re looking at your shipment number we should just be looking at it, if we’re just looking at shipments excluding the impact of the recall, the adjustment you made in the first quarter, then going forward it’s really just a matter of how we look at shipments relative to what the replenishment rate would have been. Because it just seems like product was taken out of the market and then it was put back into the market during the quarter or during the first half, then over somehow in the back half of the year you shouldn’t have that replenishment of inventory effect. Am I thinking about it right?
William F. Urich: I think that’s right.
Martin F. Roper: I think that’s right. We struggled with the presentation of this and we certainly apologize if it’s confusing. We do not know what replenishment actually was. We do know what we picked up and we also believe we lost sales. Somewhere between those numbers is what replenishment might be. So we’ve chosen to take this presentation of the data because we can’t put our handle on what that effect might be right now. I think as you think about the health of the business and long term trends focusing on depletion trends and orders net of recall returns, probably makes some sense. This seems to be numbers that are at least grounded in what’s going on while saying that obviously we have some replenishment but we have lost sales and there’s some effect in there that we can’t quantify as of today.
Bryan Spillane – Bank of America: That makes sense. Then the revenue per barrel, again just trying to strip out all the noise, would revenue per barrel have been up 5%? Is that the number?
Martin F. Roper: That’s correct for our core shipments, i.e., Samuel Adams and Twisted Tea and our core products, The Boston Beer Company family, but on top of that for the quarter we have some production for Diageo for which the revenue per barrel will be significantly less. If you’re looking at just core shipments, that’s correct. We I think indicated in the first caller that we took a price increase during the first quarter and that price increase appears to have stuck and I think we’ve indicated such in the fact that our revenue for core shipments per shipment barrels grew by 5%. Bill, do I have that right?
William F. Urich: Yes, that’s correct. Also, Bryan, if you look at the Q we laid out the volume and I think you’ll get your answer rather than me reading it to you.
Bryan Spillane – Bank of America: In terms of what’s happening at the consumer level, and I don’t know how difficult it is for you guys to assess this at this point, but if you could try to at least talk to depletion demand has slowed somewhat sequentially and how much do you think that is some lingering impact of the product recall versus how much of it being some macro economic, just what’s happening to the consumer pressure and also within that if you could talk a little bit on versus off-premise trends?
Martin F. Roper: I’ll take a stab at that but I think my starting point is, is we have not yet quantified exactly what lost sales or lost depletions might be. Under the recall I think if you look at the IRI or Nielsen data that’s published on a weekly basis for that period of time of April and May you will see that our brand trends took a very sudden hit and there is some evidence of out of stocks and other factors. So we do know that the recall did cause us not to be able to meet drinker demand for some period of time in there and that obviously impacted the second quarter depletions. There is also the July 4h effect that we indicated which would have also weakened the July 4th depletions. This is further complicated by the 8% numbers that we reported is the number reported by our wholesalers for the calendar quarter, April, May, June, and we have some suspicion that in there, there is perhaps some poor accounting for exactly what happened with the recall. It’s the best number we have and we’re sharing it but it’s a number that we have some concern about its accuracy. Looking forward we’re seeing good orders from our wholesaler system, they’re a little lower than the year-to-date depletions trend but that could just be inventory level issues and we’ll see how that plays out for the rest of the year. The last four week IRI numbers have been quite positive for us, again on publicly available information. Actually breaking out the effect of all of those factors on our second quarter depletions is something that we tried to do initially and then we just said we should focus on growing the business. Talking to your other part of your question which is what is going on with drinkers, I think it’s fair to say that again based on publicly available data the growth rate of craft beer and maybe all beer has slowed somewhat. Craft brewers came out and announced year-to-date growth of 6%, 6.5% for six months, that is the number late last week. Obviously we saw growth higher than that and so it appears that we are continuing to gain share among the American craft brewers so that’s encouraging and that’s even with the impact of the recall. We are seeing some slower growth. I think it could be economic driven but it could also be due to the recall and loss of I think for a period of time the retailers were waiting for us to be back in product before committing to supporting the brand fully that we saw in July 4 period. Could there be economic impact here? Yes. Could there be some pricing impact? Maybe, but our trends were pretty solid immediately after the pricing so that doesn’t look like that’s a big factor and certainly pricing has stuck so we’re very happy about that and as we look forward I think we’re happy that we’re growing faster than the craft category and gaining share of that category and we’re hoping that as we move forward we’ll get cleaner period so we can actually understand fully what’s going on with the recall well behind us.
Bryan Spillane – Bank of America: Any color on on-premise versus off-premise?
Martin F. Roper: I think when we last spoke we said we didn’t really see anything and I think that’s probably still where we are. We’ve obviously seen the recent bankruptcy filing of one of the retail players but I think from our perspective it’s still pretty evenly distributed in terms of growth rate by channel.
Bryan Spillane – Bank of America: Just a follow up, if I’m hearing this correctly, it sounds to me like the consumer impact on the recall wasn’t so much the consumers were worried about the product and not buying it as much as it was more of an out of stock thing, consumers looking for the product and not being able to find it. Is that fair?
Martin F. Roper: I don’t think we have that sort of granularity in our understanding of what was going on. What we do know is that we had periods of time when there out of stocks or indeed some of the big off-premise chains basically pulled products off shelves to hold until it was inspected. I don’t think we have any greater granularity than that and again our focus is on the future and we haven’t invested a huge amount of time to look at that yet.
Operator: Your next question comes from James Watson – HSBC.
James Watson – HSBC: One last question on the accounting for the recall and replenishment just from a slightly different perspective, if I’m modeling and I’m trying to match the basis of your $1.70 to $2.00 guidance, if I have put back in or take out how you would account for the recall, so take out the losses for the recall, should I also be attempting to take out an estimate of the benefit for the replenishment in order to match your basis?
Martin F. Roper: I’m going to answer the question a little bit differently, in a way that I hope will be helpful and that is, as we look at our full year guidance which has basically remained the same without the impact of the recall, we’re looking at a number of factors that allow us to hold that guidance the same. We have dropped our volume forecast, we have seen pricing hold and stick, we have seen cost increasing faster than we anticipated but we have been able to offset those through operational savings and improvements and therefore we maybe have gained somewhat on the cost side in that environment and as we look forward to the full year of some of our discretionary spending isn’t quite as high as it was partly due to the recall and timing events and we’ve been able to hold our earnings guidance roughly the same. Then if you put the recall on top of it, there’s a whole bunch of things going on and it’s really quite complicated. We have the credits for the returned product, we have a potential benefit of the replenishment, we have changes in tax rate, we have significant costs that you might not regard as recall costs related to litigation and other sorts of costs. I’m trying not to answer your question by talking specifically at the recall because it gets us into areas that I’m not willing to talk about.
James Watson – HSBC: I was just primarily trying to make sure I’m not double counting anything in adding it back for the recall and then leaving it in for the replenishment.
Martin F. Roper: I think again what we say is that the guidance is the same as if we hadn’t had the recall but that’s not to say that our business model is the same.
James Watson – HSBC: Switching tracks, a question on pricing. We’ve seen a lot of the other beverage companies, Anheuser-Busch has announced a price increase in the second half of the year, they’re pulling forward 09 price increases, a number of the soft drink guys have announced a post-Labor Day price increase. I was wondering if you see any difference in the pricing environment from the second half of the year that would either give you the possible opportunity to take prices or just take advantage of a lesser price gap versus your competitors and if you see any difference in your strategy there?
Martin F. Roper: We certainly have read the published reports of potential price increases by some of the domestic brands and that obviously if our pricing was to remain the same could close the price gap and might be beneficial to us. We intend to watch that closely, see whether it materializes and as always endeavor to be a price leader in our category.
James Watson – HSBC: Last question is just on the 2009 costs, I apologize I missed a little of the call in the middle so if you’ve spoken about this already. You mentioned basically three costs was on agricultural on the glass front and on freight that were looking potentially worse for 2009 I believe and I was just wondering if you could give any greater detail behind that and which are the most significant factors?
Martin F. Roper: I think they’re all equally significant and so it is a little difficult for me to rank them in order. Let me comment about each individually. On the agricultural front our two main agricultural inputs are malted barley and hops. Taking hops first I think it’s relatively well published that hop prices are up. We also buy our hops for our beers from Europe and so we’re exposed to currency risk and both of those continue to move against us. [Inaudible 00:08:45] might want to say currency risk but we’re exposed to currency changes. We don’t hedge currency. With regards to malted barley, again I think it’s reasonably well published what is happening to corn and wheat and therefore by extension barley prices. We don’t contract direct with farmers but buy in the market relatively significant quantities as competitively as we can and we’re very much dependent on what the agricultural markets are doing and how the weather forecast is for the Northern Plains from week to week. Certainly based on current information we think that we may see a significant agricultural increase based on where corn futures are and wheat prices are and what we are understanding of the agricultural situation is over what we paid last year. That’s a pretty significant upward pressure on the liquid costs. We announced I think sometime in the second half of ‘07 a new glass contract with Anchor Glass that takes effect January ‘09. This replaces a 10 year agreement that we had with our previous glass vendor. Obviously that contract was bid and negotiated fairly but the environment for glass is very different than it was 10 years ago and inherently then we have a jump in glass prices. Finally freight, we incur the freight costs as it relates to the cost of shipping our product to the wholesaler and returning empty kegs and pallets, etc. and I think what’s happened to oil prices again are very visible to everybody and that comes through to us in fuel surcharges. We don’t hedge those sorts of exposures and that’s the third area of our cost pressures. I think we’ve been saying for over two years now that this is a cost environment unlike any we’ve seen in our previous 10 years of being a public company. We work very hard to improve our efficiencies and find things that we can reallocate resources on whether it be spending or in the production process and we continue our efforts to that extent. At least as we look forward we don’t see these cost pressures ending before the end of ‘09.
Operator: There are no further questions at this time.
C. James Koch: Thank you everybody. We look forward to speaking with you on the third quarter earnings call.